Operator: Good day, and welcome to the Spanish Broadcastings First Quarter 2023 Conference Call. All participants will be in a listen only mode. [Operator Instructions].Please note this event is being recorded. I would now like to turn the conference over to Brad Edwards of Investor Relations. Please go ahead.
Brad Edwards: Thanks Jason, and good morning everyone. Before we begin, please recognize that certain statements on this conference call are not historical facts. They may be deemed therefore to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. In particular, statements about future results expected to be obtained from the Company's current strategic initiatives are forward-looking statements. Many important factors may cause the Company's actual results to differ materially from those discussed in any such forward-looking statements. Spanish Broadcasting System undertakes no obligation to publicly update or revise its forward-looking statements. Please also note that we will be discussing non-GAAP financial measures. The Company believes that operating income before depreciation and amortization loss under disposal of assets, and other operating expenses, excluding non-cash stock based compensation, or adjusted OIBDA is useful in evaluating its performance because it reflects a measure of performance for the Company's stations before considering costs and expenses related to capital structure and dispositions. This information is not intended to be considered in isolation or as a substitute for operating income, net income or loss, cash flows from operating activities or any other measure used in determining the Company's operating performance or liquidity that is calculated in accordance with U.S. GAAP. A reconciliation to the Company's U.S. GAAP information to adjusted OIBDA is provided in the tables attached to the Company's first quarter 2023 earnings release which is available on the Investor Relations section of the Company's website at www.spanishbroadcasting.com. I will now turn the conference over to Mr. Albert Rodriguez.
Albert Rodriguez: Good morning ladies and gentlemen, welcome to the SBS 2023 first quarter earnings conference call. On today’s call we will provide an overview of recent operating developments and review our financial results. Joining me today are Jose Molina, our Chief Financial Officer, and Richard Lara, our General Counsel. Our first quarter results demonstrated the power and reach of our national network and digital capabilities as well as further confirmation of our multi-platform strategy, our brands continue to resonate with Latinos nationwide, we increased our aggregate audience and continue to invest in our business to drive accelerate growth in the years ahead. While our live events division impact our results due to less events compared to last year, we have a compelling concert lineup in the rest of 2023 and expect to see improved performance in that division. Our audio stations continue to perform exceedingly well and sit at the top of the markets they serve. Our Orlando and Tampa stations continue to expand their market presence and we remain on track to be profitable with both of these stations this year. This confirms our dominant position as the largest Hispanic audio broadcaster in Florida. We refer our Miami Orlando and Tampa cluster as the Golden Triangle. We also recently extended our footprint into the Houston market through the acquisition of KROIFM. Houston is one of the top audio markets in the nation and we are excited to bring our talent commitment in connection with Hispanics in Texas in and unique station format to KROIFM. These investments are key for the 2024 presidential election cycle and SBS advocacy team is in place to interact with all the nationwide candidates. Now let's review our operations and we'll start with our AIRE Radio Networks. For the first quarter of 2023, AIRE Radio Networks outpaced the marketplace by 25%. Miller Kaplan reported networks spot down by 13% while AIRE Radio Networks delivered an outstanding performance of plus 12%. The key categories is this period were home improvement plus 93% television plus 214% automotive plus 45% in pharmaceutical plus 62%. Miller Kaplan also confirms that Spanish broadcasting is the fastest radio revenue audio linear broadcaster in the nation outpacing the industry by 700 basis points. AIRE Radio Networks the largest minority owned Hispanic audio network delivering 95% of Spanish language listeners across all the country continues its commitment to super serving Hispanics. AIRE Radio Networks reaching 15 million weekly Hispanic listeners across more than 300 affiliates. NMSDC certified with presence in the top 50 U.S. Hispanic markets. Some of the key highlights for AIRE new initiatives included, show their [indiscernible], launching the summer's nationwide is the heavily morning show, La Mezcla con Alex Sensation, the influencer network delivering campaign messaging through a national platform while penetrating local markets and I think that 360 were brands online with Latin artists. Now we look at our audio division with celebrating rating success engagement and loyalty across New York, Los Angeles, Miami, Puerto Rico, Chicago, San Francisco Tampa as well as in Orlando with our relentless dedication and knowledge of the Hispanic market not only have we achieved impressive ratings in all of our markets, but we have also experienced a significant growth in listener loyalty and engagement. Our primary goal has always been to create unique engagement and high quality content that resonates with our diverse Hispanic audience, our creativity teamwork have made it possible for us to achieve this objective. We are number one in New York with WSKQ FM Mega 97.9 number one in Los Angeles mornings KXOL, Mega 96.3 Number one in Miami with WXDJ FM El Zol 106.7. Number one in Orlando WPYO FM El Zol 95.3. Number one in Puerto Rico WMEG FM Mega 106.9 and I can go across the board in Puerto Rico we are number one everywhere in Puerto Rico. Number one in San Francisco the KRZZ La Raza 93.3, number one, 18 to 34 in Miami with WRMA FM, 95.7. In New York, our programming and on air team continues to captivate the hearts and minds of one of the most demanding Hispanic audiences in the world, our ability to innovate and stay ahead of the curve has enabled us to become a staple in the daily lives of millions in the nation. WSKQ mega 97.9 is the number one station in New York and the number one most listened to online streaming station in the nation. In Los Angeles, our programming has struck a chord with the vibrant and bustling Hispanic community as our morning show, Omar and Argelia on KXOL FM Mega 96.3 has now become one of the top rated morning shows in the city beating all of Spanish contemporary stations in the latest Nielsen April 2023 ratings book. This is a testament to our ability to understand and adapt the taste and preferences of our listeners. Meanwhile, in Miami, we have tapped into the unique cultural blend of the city offering content that reflects its diverse and dynamic character. This has allowed us to establish a presence in the city as we continue to grow our listener base and expand our influence where we are creating a personal touch points with our Hispanic local community. As we move forward, we celebrate these accomplishments and remember that our success is built on the foundation of pushing boundaries and creativity and innovation as we strive to maintain our position as leading source of entertainment and information for our family of listeners. We have so many more to highlight; here are a few. Orlando WPYO, Nuevo Zol 95.3 continues to dominate the Orlando and Central Florida market. Our morning show El Despelote with Rocky the Kid is again the number one in the Orlando market beating every station in the market adults 18 to 49. KLAX La Raza is the number one regional Mexican station with El Chikilin middays 10 to 3. Chikilin is also on our San Francisco station and across our AIRE Radio Network. In Puerto Rico, we have a station with the number one in every demographic group with adults 18 to 34 Mega 106.9 is number one with 9.3 share WODA FM La Nueva 94.7 is a number two with a 8.7 share and with adults 18 to 49 WMEG Mega is number one across the board. Turning now to our live events division. SBSC generated 5.9 gross ticket sales for Q1, with the heritage shows, [Indiscernible]. The division continues to see a high demand for events through the rest of the year, and close a multi-year agreement with Oak View Group, the largest developed of sports and live entertainment venues in the world, to produce SBS heritage shows such as Megabash, Megametha and others in venues in New York, Austin Palm Springs, and many more. SBS Entertainment also secured a strategic partnership with touring partner to co-produce the [Indiscernible] in Orlando later this year. The division continues to see great demand for shows as Mega Bash, Miami Bash, [indiscernible] to name a few for 2023 and has a comprehensive show schedule for the remainder of the year well into 2024. Now turning to our mobile and digital platforms and strategic initiatives. Over the last several years, we've had great success of transforming SBS into a leading multimedia Hispanic media company. Today, we connect brands with much more Hispanics than ever before and our aggregate audience continues to expand. For our brand partners, there has never been a more important time to have a Latino focused marketing strategy and outreach program. The Latino population is growing rapidly in size, cultural influence and purchasing power. SBS has the multimedia assets to reach in over four decades of experience and commitment to the Latino community across the U.S. And as such, we can deliver compelling and integrated advertising opportunities that cross all major media platforms and offer access to coveted demographic groups. As it was stated in the last 2020 census, the Hispanic population was the fastest growing group in the United States and as such it is our responsibility to continue to grow that Hispanic audience within our platforms. As I stated, our aggregate audience continues to grow and it is our fiduciary responsibility to continue to grow it and we do have the number one station in America WSKQ regardless of language. No one comes close to the station mega in New York. It is the number one linear station and the number one stream station in America per Nielsen period. As of March 31st, our total audience was up 48% compared to Q1 the prior year. March 2023 we had a record 3.4 million unique listeners to live audience compared to 1.8 million in 2022. The total division grew by 16% year-over-year. LaMusica platform reaches over 3.9 million people across all of our devices who combine for over 26 million streaming hours per month, usage and adaption of LaMusica continues to accelerate as it offers a truly unique mobile and digital experience including original daily video content, short form programming, millions of songs and a personalized experience. Overall, we have placed strategic emphasis on identifying new digital revenue streams as well as increasing our CPMs on existing digital offerings. We have launched this idea and in-house agency to allow us to sell additional digital products to our clients -- need such as SEO, SCM, OTT ads and more, we are also in the process of launching a brand new podcast division that will add dozens of new unique podcasts unrelated to our existing audio based podcasts. We have high expectations for both of those new initiatives. During the first quarter, our total streaming audience surpassed 3.4 million unique listeners per month. This audience delivered 38 million listening hours and over 80 million total sessions in the quarter giving Hispanics overly index on mobile phone ownership and usage mobile remains the primary driver of our mobile digital traffic and accounted for approximately 95% of our total digital traffic in the quarter are key driver of our growth in streaming hours and sessions has been the expansion of our La Musica user base as well as increasing consumption of our podcast and playlist products with average time spent listening of over 45 minutes in the most popular categories. In summary, our audio stations remain at the top of their markets and our aggregate multi platform audience is significantly compared to the last year. The Latino consumer base has never more highly sought after today. We connect brands with engage multi-platform audience in more ways than ever before. 2023 will be another exciting and successful year for SBS and we can’t wait to keep you updated on our progress. And we are so excited be that to SBS of the top 20 stations in America, SBS has 3 of the top 20 rated stations in America, they happen to be SKQ, Mega New York, KXOL, Mega in Los Angeles and KLAX La Raza in Los Angeles. Mega in Los Angeles is the highest rated more streamed station in the entire California region by Nielsen nationwide. Thanks for your time and your attention today. Now let me turn the call over to Jose Molina for the financial review. Jose?
Jose Molina: Thank you Albert. Before we turn to our results, I would like to mention that our television segment and its related real estate assets which are pending to be sold were classified as assets held for sale and their operations have been reclassified as discontinuing operations for the current and prior year periods. Also our operating results were impacted by our special events schedule which had less show nights and lower ticket sales and related event expenses. In addition, our operating results continue to be impacted by our investments in our Orlando and Tampa startup stations, unique Spanish language talent and content for our terrestrial and digital properties, and our digital infrastructure and capabilities, personnel, and offerings, such as our SBS Global Podcasting Group and DGLA, our PurePlay Digital Marketing Department. We believe that these are necessary and the right investments to drive accelerated long-term growth while also sustaining and building on the power of our brands and market leadership positions. Now, let's turn to our first quarter results. Our consolidated revenues totaled $34.5 million compared to $38 million for the same prior year period, resulting in a decrease of approximately 3.5 million, or 9%. The decrease was primarily the result of lower special event revenues, local and barter sales partially offset by increases in national, network, and digital sales. Our operating expenses increased 5% primarily due to increases in compensation and benefits, allowance for duffel [ph] account, music license fees, and transmitter rent, partially offset by a decrease in special event expenses. Our station operating income, a non-GAAP measure, totaled $6.8 million compared to $11.7 million for the same prior year period. Corporate expenses decreased 10% due to decreases in compensation and benefits, travel and entertainment, and professional fees. Adjusted OIBDA, a non-GAAP measure, totaled $3.4 million compared to $7.8 million in the same prior year period. Capital expenditures during the first quarter were approximately $805,000. As of yesterday, we had cash on hand of approximately $8.6 million, which includes the $3.8 million deposit related to the Voz television transaction. As I mentioned on our last call, we expect capital expenditures to be in the range of $3 million to $4 million for the full fiscal year 2023. And cash taxes to be in the range of $4.5 million to $7 million, excluding any additional taxes needed to be paid on the Voz television transaction. This will conclude our formal remarks, and with that, I would like to turn the call over to Brad for any questions.
Q - Brad Edwards: Thanks, Jose. So, for Albert and Jose, looking closer at the first quarter revenue performance, can you break out revenue by category, local, national, digital, as well as what the key drivers were, and to do the same for operating expenses as well?
Albert Rodriguez: Sure, look, national was up 22%, network was up 16%. Digital was up 20%. It was off by the some of the decreases local was off by Single digits it was off by 6% part. It was down by 31% and events were off by they were down by 37%. But when you take everything into consideration the events were a big were a big part of why the Spanish broadcasting were down. But when you look at the key drivers of why we were up National when you look at all the data management platforms and Miller Kaplan we were number one in terms of revenue growth. There was no one that was even close. We completely outpaced all of the large Broadcasters we have an incredible national team. We're at the forefront of all of the big categories automotive, the retailers the pharmaceuticals and health care and finance as well as with network Telecom is starting to come back. So I think we're performing exceptionally well in those key drivers in particular those categories. Now you've seen because of the economy a slowdown in the first part of the year the first quarter and the second quarter. But we're seeing that there's optimism in the third in the fourth quarter, so the ad market is optimistic of that and we're hopeful that that there's an ad recovery for that and in particular but there's a presidential election cycle that is in place for 2024 and in my remarks at the beginning of the call we're in the key battleground states and in particular with our strong audio platform we have a very very strategic dominant audience platform and we're going to do really well in the next election cycle. So we're very excited about it and we're going to see hopefully some strong dollars come in and maybe late fourth quarter, but very very late or or early first quarter of 2024.
Jose Molina: And as to the operating expenses just to walk you through so yes expenses increased approximately 1.4 million of which 1.9 million was related to the an increase in compensation and benefits mainly related to programming and selling approximately 400,000 was related to an increase in the allowance for doubtful accounts, 300,000 was related to music license fees related to the new GMR license. Approximately 700,000 was related to various other expenses which included transmitter rep promotions rating services etcetera. And these increases were partially offset by a decrease of 1.9 million related to special event expenses. To reconcile it a little bit differently kind of parceling out Orlando and Tampa. So expenses went up by 1.4 million of which 1.6 million was related to the Orlando and Tampa expenses 1.2 million was related to compensation and benefits which exclude Orlando and Tampa. Approximately 400,000 was related to the increase in the allowance for duffle account. Approximately 300,000 was related to music license fees and these increases were partially offset by the 1.9 million decrease in special event expenses and approximately 200,000 of various other expenses.
Brad Edwards: Right, thank you and then turning now to an update on the Orlando and Tampa stations. How did those stations perform on a revenue and all a perspective in Q1 compared to your expectations and second, could you talk a bit more about the pathway to profitability for those stations?
Albert Rodriguez: Great look with respect to ratings, we just went into that marketplace late April of 2022 and that's a marketplace that we looked at for a long time and there was an incredible growth with Hispanics in particular both in Orlando and Tampa and the Hispanic population just boomed there and we had been looking at that marketplace for a long time and Cox had been there for a long time and that's why we bought the station from Cox and IHeart had a very dominant a position there with their Hispanic format and within 90 and 120 days we basically took with our format the number one Hispanic position we blew everyone out of the water with our El Zol format and we have the number one Hispanic position in every single demographic group over IHeart and Cox and over everybody and they're not IHeart and Cox aren't even close to us. And the other total market stations are very very far away from us. In the morning we have a 20 share in all the key demographic groups that means we have 20% in Orlando 20% of the Orlando audience is listening to our station. And we've been there for basically a little bit less than a year so that speaks volumes. Not only are we going to be profitable not only are we going to be profitable, but we're going to make a lot of money in Orlando. Tampa we've grown not as quickly as Orlando but we've grown very well and we are pleased with the progression that we've made and we continue to grow week after week and we continue to feel that we're going to be number one in that market but it hasn't been an explosive growth that we've seen in Orlando but we are still pleased with what we're seeing there. But the message is Tampa and Orlando we're going to be profitable in 2023 and we mentioned it last year and we are on track to be profitable in 2023.
Jose Molina: As to the results of the first quarter, Orlando and Tampa had combined net revenues of approximately $1.5 million and for adjusted OIBDA Orlando reached breakeven and Tampa had a small operating loss. LTM adjusted OIBDA loss totaled approximately $3.3 million as of the first quarter of 2023. Our operating LTM results include significant promotional expenditures mostly one-time in nature which occurred in 2022. Given that significant promotional expenditures occurred in 2022 and that in Q1 of 2023 these stations were nearly breakeven, we expect Orlando and Tampa operations to have positive adjusted OIBDA growth in 2023.
Brad Edwards: Great. Thank you for that, and then the next question the live events SBSC was another part of the business that investors were looking for a broader update on. Most of the questions were focused on the year-over-year decline in Q1. What were the driver, the other two areas of questions were to quantify how the overall business performed, overall SBS business performed excluding the entertainment division as well as what the forward event calendar looks like for the remainder of 2023?
Albert Rodriguez: Look we did few nights in Q1 and last year in 2022 we’re coming off a year let the prior year in 2021 for obvious reasons they were people were doing less events and people were even questioning us if we were going to do so many events in 2022. So we had an incredible first quarter last year with events and what we did was we scaled back and doing less events in Q1 to spread them out to the rest of the year. And we were also involved in a very lengthy strategic negotiation in finalization of a strategic long-term multi-year agreement with Oak View Group the largest developer of sports and live entertainment venues in the world and that's a multi-year agreement. And we did a long-term year agreement with them and so we've pushed back some of the some of the dates that we're going to do in Q1 and we're pushing it back for the rest of the year and some of them we're going to be participating with Oak View. So we wanted to strategically push some of the events and we're incorporating with Oak View but at the end we feel that not only we're going to make up some of the EBITDA that we missed or our plan is to not only make it up but hopefully generate even more cash flow.
Jose Molina: Just to put some numbers around it. For the first quarter of 2023 our event revenues totaled $5.9 million as Albert mentioned and that was a decrease of about $3.5 million compared to prior period and event profits totaled $1.5 million, a decrease of $1.5 million compared to the prior year period.
Brad Edwards: Great, moving on. Another area where there's been a number of questions about was Q2 pacings as well as our thoughts on operating expenses for full year 2023. So maybe we could start, Albert, maybe we could start with a view into the current pacings and then Jose maybe you could provide a little bit more detail on how we should think about operating expenses for full year 2023.
Albert Rodriguez: Sure, so look April, April for national it was down double digits for national but low double digit was about 12%. Local was down about 3% and, excuse me, Network was about flat, and then in national for May it completely rebounded. It's plus 20%. No other broadcaster in America for National is plus 20. Pretty much I think all the broadcasters in America are down about 15 or 12 points. Local is about flat for May, maybe off a percentage point or two and network is up about a few points. So Jose, I'm not sure if you wanted to add anything else.
Jose Molina: Sure, look, as to our full year operating expenses, we believe that our full year operating expenses would increase give or take mid-single digit range and that excludes any Houston startup investment costs and we believe that corporate expenses will decrease in the low to mid single digit range for the full year.
Albert Rodriguez: I wanted to add one more thing, Brad. For the month of June, we were going over the numbers with our national team. The month of June, I've already surpassed in the month of June what National did in the entire month of June last year. So our June is through the roof right now for National and our local is about flat and Network is about flat, but they're planning to add a lot of money. And like I mentioned, the latter part of the year, third and fourth quarter, we're hoping, the industry is hoping that there's going to be an ad recovery and there typically is right before a presidential election cycle. And I think we're sitting pretty solid in particular because of the stronghold with all the states that we're covering in right now. The stronghold in Florida, we're in key areas in Florida, Tampa, Orlando in Florida, and those are key battleground districts in Florida for the presidential cycle. No one's going to be in a much more dominant position than Spanish broadcasting. And in particular with the reach that radio has right now, particular Hispanic radio. Hispanic radio, the reach that Hispanic radio has right now has surpassed really even the total market radio in essence, when you compare it to certain video aspects, and when you look at other battleground states, when you look at the reach that we have in Georgia, Pennsylvania, even New York, Michigan, Arizona, Nevada, Texas, Texas is important for us, that's why we're in Houston, and even with our audio platforms, and the audience that we have in Dallas, and all of these other markets, so we're in an extremely dominant position with our audio platform on La Musica. So I think we're in a very, very dominant position for 2024 to continue to drive and deliver huge results. And look, the 2020 census was clear, the Hispanic audience grew, there was no other group that grew as much as the Hispanic audience, and we have a fiduciary responsibility to our platform, to our shareholders, because the other audiences didn't grow as much as our audiences, and like I mentioned in my formal remarks before, when you look at the top 20 stations in America, we have three of the top 20 stations, we have the number one linear station, number one stream station, the last I checked on video, Netflix is probably one of the dominant stream platforms in America, they're not the dominant force on linear on video, we have the dominant force in audio and linear in America, no one comes close to WSKQ, Mega in New York is number one in linear and in audio and stream, so we're very proud of our accomplishments, we're very proud of our programming and content in our content team, and no one comes near that, and no one in America can say that they have both under their wing like we do, so.
Brad Edwards: Great, thank you for the color. We received a number of questions about technical structure and what the company's plans are moving forward, so this is probably for Jose, but obviously, Albert, weigh in if you want to, but you know, Jose, could you walk through what the priorities are moving forward?
Jose Molina: Sure, sure, so look, SBS's management, we've been laser focused on the deleveraging transaction of selling our television and real estate assets to Voz Media, which should close by the end of the month or early next month, and we do not expect any delays. For months, we've been working on separating our television operations from our continuing operations and providing a smooth transition of these operations to Voz. We've received a non-refundable $3.8 million deposit, which is currently in our bank accounts, and at close, we should receive approximately $58.2 million with an additional $2 million within a year. As a preliminary estimate, the gross asset proceeds of $57 million, which is $64 million of a purchase price minus the $7 million of a prepaid advertising buy, that should net proceeds in the low $40 million range after considering transaction costs and taxes. We continue to analyze and consider the best use of the net asset proceeds after we close on this transaction, such as the acquisition of Houston Station KROI-FM. Also, as I've mentioned in my prepared remarks, the recent and continued investments that we are making across our business will drive future top-line growth, but has and will continue to have a near-term impact on our operating results. We remain committed to reducing our leverage and expect leverage to begin improving in the latter half of the year as our margins and profitability begin to improve and normalize, Pro forma, any start-up costs related to the Houston Station.
Brad Edwards: Great. Thanks, Jose. And then the last question, so again, on the Houston Station acquisition, can you and Albert provide some more color on how you see the station's revenue and expenses trending in the near term, and what does the pathway to profitability for the station look like?
Jose Molina: Sure. Sure. So, first, I would like to just start by mentioning that this was an opportunistic and strategic purchase, given the attractive purchase price of $7.5 million and the fact that, as Albert mentioned, it's in the third largest DMA, Hispanic DMA, per Nielsen. Second, this acquisition gives us an opportunity, it gives us a footprint in Texas and allows us to unpack all of our offerings in Houston, our programming, our streaming assets, our radio network, SPS's global podcasting, DigIdea, our digital in-house agency, SBS Entertainment, live events, and more in addition to giving us the opportunity to enter into the Texas political market. I think that'll be big in 2024. The closing of the Houston transaction is scheduled for late third quarter, maybe early fourth quarter, and it will be funded by the asset sale proceeds of the Voz transaction. After the close, we will be reformatting the station and have standard start-up costs that are required when the station's reformatted clearly. These costs can range based on the market and the synergies that we can provide. At this time, we're not going to be providing any estimates on the start-up costs or any near-term profitability. What we will say and what we truly believe, we believe that Houston can reach break-even in year two of its operation, and its projected EBITDA after its start-up stage should be in the range of $1 million to $4 million.
Albert Rodriguez: Thank you, Brad. And thanks to the operator. Look, I want to thank everyone who participated on today's call, and I want to thank everyone who has sent us questions. We take your questions very seriously, and we looked at everything, and I hope we addressed everyone's questions. And any future questions, please send it to us. I look forward to participating in second quarter 2023, and I look forward to answering all of those questions, and nothing, I hope everyone participates again, and have a great day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.